Operator: Good morning, and welcome to Beasley Broadcast Group's Second Quarter 2024 Earnings Call. Before proceeding, I would like to emphasize that today's conference call and webcast will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent Annual Report on Form 10-K as supplemented by our quarterly reports on Form 10-Q. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 of Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would also like to remind listeners that following its completion, a replay of today's call can be accessed for five days on the company's website at www.bbgi.com. You can also find a copy of today's press release on the Investors or Press Room sections of the site. At this time, I’d like to turn the conference over to your host, Beasley Broadcast Group's CEO, Caroline Beasley. Please go ahead.
Caroline Beasley : Thank you, Rob. Good morning, everyone and thank you for joining us to review our second quarter results. Marie Tedesco, our CFO is with me this morning. So consistent with the pacings we provided when we reported Q1 and reflecting continued softness across ad-reliant businesses. Our second quarter same-station revenue was down just 2%. Adjusting for the WJBR divestiture and the outlaw. And on an actual basis, total revenue was down 4.8%. Now reflecting our continued focus on leveraging and monetizing our local content and reach second quarter same-station digital revenue grew by an impressive 10.2%. Our revenue mix shift toward digital continues with it now accounting for 21.5% of second quarter total revenue, and that's up from 19.4% in second quarter '23 and up from 16.5% in second quarter '22. For the full year of 2024, we expect digital to account for between 20% and 25% of our total revenue, and this is driven by our content creation capability and continued success and growth of our digital service offerings. As such we intend to continue to expand our digital sales force to leverage our strong local brands, content and relationships by offering a broad range of advertising solutions to clients. Another bright spot for the quarter was political as during Q2, we generated $586,000 in net political revenue, and this includes both traditional and digital, exceeding our second quarter political revenue budget by 72%. This compares to $228,000 in political revenue in second quarter of 2020, so we’re off to a strong start with political, and we expect a robust second half of 2024 as several of our markets are well-positioned in swing states. Now national showed signs of stabilizing in Q2 with same-station national up 7.3% and up 3.5% ex-political. And on an actual basis, national increased 6.4% year-over-year for the quarter and 2.6% ex-political. In total, National now accounts for 14.4% of our total revenue, and this is ex-political. Now breaking down our second quarter revenue performance even further. Over the year, local spot was down 10.9% or $4.1 million and same-station local was down 10% or $3.7 million. This was driven by a 3% decline in local agency business and a 4.9% decline in local direct. Local direct currently accounts for 57.3% of our total local business as we continue to shift from agency to direct. I think the decline that we've seen in local business further supports the softness on Main Street that many of us and our peers have discussed for the last quarter. Our operating expenses in the quarter declined 3.9% or $2 million, and this includes an added $1.3 million in severance costs. Excluding the severance costs, expenses were down $3.3 million, and SOI would have increased by $250,000 to $12.4 million. And on a same-station basis, ex-WJBR, esports and the one-time severance costs, operating expenses were down $1.3 million, which resulted in a $60,000 increase in same-station SOI to $12.6 million. And to highlight our adjusted EBITDA increased 11.4% to $8.8 million in the second quarter. Now I am going to turn it over to Marie, and she's going to give you further detail in second quarter.
Marie Tedesco: Thanks, Caroline and good morning everyone. As Caroline mentioned, second quarter total net revenue was $60.4 million, and six of our markets, including Augusta, Charlotte, Fayetteville, Fort Myers, New Jersey and Tampa exceeded prior year second quarter revenues, as did our in-house agency digital direct. The main drivers of the overall revenue decline was related to the divested Wilmington station, the elimination of the outlaws and the decline in local stock business, which was somewhat offset by continued growth in digital and political revenue. Looking closer at the quarter on a same-station basis, excluding the divested Wilmington station and esport, April was up 2.3%, May declined 5.2% and June dropped 2.7% year-over-year, resulting in a 2% same-station revenue decline for the quarter. Operating expenses for the quarter decreased 3.9% year-over-year or $2 million, and SOI declined $1 million year-over-year to $11.1 million. The expense decline was primarily due to the divestiture of our Wilmington station and the elimination of our esport team, along with the May 2024 headcount reduction somewhat offset by a $1.3 million non-recurring severance costs. Excluding the onetime severance costs, SOI increased 2% or $250,000 for the quarter. Same station expenses dropped by $28,000 driven by the headcount reduction, offset by increased third-party costs and severance expenses. Consequently, same-station SOI declined $1.2 million for the quarter to $11.3 million. And excluding the one-time severance costs, same-station SOI increased $60,000 for the quarter. Now looking at our revenue categories for the quarter. Consumer services remained our largest revenue category at 31.1% of total revenue with a decline of 1% year-over-year. Retail ended in second place, representing 16.2% in the quarter, falling 5.4% year-over-year, mostly from Detroit and New Jersey. Entertainment number three was up 4.5% in the quarter, accounting for [16.1%] (ph) of total revenue. The largest entertainment increase came from Boston and Charlotte related to increased sports betting revenue, partially offset by a decline in sports betting revenue from Philadelphia. In the sports betting category, we recorded $3.1 million in the quarter, and that accounted for 5.6% of total revenue. The auto category was down 18.5% year-over-year and represented 7.6% of our total second quarter revenue. This drop was primarily due to a decline in domestic auto spend, which accounted for 60% of the drop. Consumer Products came in fifth place at 6% of total revenue for the quarter, up 19.8%. Corporate G&A expenses decreased 11.9% or $525,000 compared to the same order a year ago to $3.9 million. And year-to-date corporate expenses declined 6.8% or $600,000. The second quarter year-over-year decrease in corporate G&A is mostly related to a reduction in corporate compensation and an allocation of digital expenses to our market. Non-cash stock-based compensation increased $80,000 to $262,000 in the quarter and increased $59,000 to $415,000 year-to-date. And we paid $117,000 in income taxes year-to-date for 2024. Second quarter 2024 operating income increased 219% or $9.9 million from a negative $4.5 million to a positive $5.4 million and operating income for the six months increased $8.4 million from a negative $4.1 million to a positive $4.3 million, both prior year second quarter and prior year six months included an impairment loss of $10 million. Interest expense decreased $632,000 year-over-year to $6.1 million and decreased $1.6 million year-to-date compared to the same period a year ago, reflecting our debt reductions throughout 2023. We ended the quarter with total debt of $267 million, down from our original $300 million debt at the beginning of 2021, and we made our latest semi-annual interest payment on August 1, 2024. Adjusted EBITDA, meaning adding back one-time severance expense of $1.3 million and non-cash stock-based compensation of $262,000 was $8.8 million for the quarter and $9.6 million year-to-date. We ended the quarter with cash on hand of $33.3 million, and that's up from $27.8 million at the end of first quarter 2024. Our capital expense for the quarter was $1 million compared to prior year second quarter of $847,000. Year-to-date CapEx spend remains the same in both years at $2 million. Looking at the full year 2024, we expect our annual CapEx spend in the range of $4 million to $5 million. And with that, I'll turn it back to Caroline.
Caroline Beasley: Thank you Marie. Digital revenue growth remains a strategic priority for us, and I'm happy to report that our digital segment reported SOI of $3.1 million and a margin of 24% for the quarter. As we evolve this business and look to drive efficiencies and reduce digital expenses, we decided to close our white label agency Guarantee Digital effective July 15. In doing so, we eliminated a large portion of their operating expenses, and I'm pleased to announce we successfully transferred 75% of the GD revenue to our in-house agency Digital Direct. This reorganization is expected to increase our bottom-line by about $1 million. Additionally, we decided to exit our esports content initiative, its monthly past profitability contradicts our hyper focus on reducing leverage. Our multi-platform content strategy is consistently delivering dominant market share results and strong digital impressions. On the digital side, our focus has been growing and monetizing our social media audiences and leading platforms, including Facebook, Instagram, X and YouTube, in addition, connecting our show pages to our social media management platform, maximize our revenue opportunities and increase our monetizable social media followers by nearly $1 million over the past six months. And while our strategy has predominantly revolved around station social accounts, we believe these partnerships will open more doors for engagement and reach of new audiences. We expect this growth to continue with revenue to follow. And finally, I'm really to announce that we hired a head of digital content marketing with extensive marketing expertise to help us, as we continue to build our new digital revenue streams on behalf of the company. And on the traditional side in Nielsen Audio PPM ratings, we remain the dominant player in most of our large markets. We currently have the top-rated station in Boston, Charlotte, Detroit, Las Vegas and Philadelphia and have the Number One rated cluster in Boston, Charlotte, Las Vegas and Philadelphia with key adults 25-54. Now moving on to third quarter. Pacings as of today, they are down low to mid-single digits with July ending up slightly in August and September pacing down. Now considering the current economic environment, we've developed a strategic plan focused on revenue, leverage, free cash flow and addressing our capital structure ahead of the first quarter 2026 maturity. This includes streamlining our traditional business with emphasis on local growth, expanding our digital revenue via a combination of new and old digital revenue streams and most imperative Remaining laser focused on corporate expense management. As we mentioned on our last call, we executed a $6.7 million expense Reduction Initiative in May, which is projected to amount to nearly $10 million on an annualized basis. These reductions have been achieved through strategic headcount reductions totaling 8.5% of full-time employees, which include the combination of streamlining production and traffic services and the consolidation of G&A operations among other reductions. Also, earlier this month we rolled out another voluntary early retirement offer. As employees accept this offer, we will not be backfilling most of these positions as part of our greater effort to streamline our processes. However, we have not been reducing headcount in our sales departments. Instead, we are adding technical sales specialists on both the traditional and digital side. Additionally, last week we introduced a new regional VP structure. These managers already active in existing markets will now oversee multiple markets across the organization to realize operational efficiencies across regions, thus further streamlining our processes. So looking forward, we remain optimistic about the growth prospects in the second half of 2024. And this is driven by anticipated strong political spin and continued expansion in the digital sector. So with that, I'd like to thank our team members across the company for everything that they have done and are doing to focus forward. So with that, Marie, I think we do have a few questions that were submitted.
A - Marie Tedesco: Yes. Thanks, Caroline. Well, most questions we received were addressed in our remarks, we do have a couple of them that we will address at this point. So the first one, our view in any discussions with creditors about the February 2026 bond maturity.
Caroline Beasley: So what I can say about that is that we are laser-focused on addressing our first quarter of '26 maturity, and we will have more details that come on this near term.
Marie Tedesco: Great. The next question we received is, are there more assets that could be sold?
Caroline Beasley: We are open to selling assets at an attractive and deleveraging price.
Marie Tedesco: Great. And the last question, I will take that. Do you realize -- you realized $2 million of cost improvements in the quarter, how far into the $10 million cost savings program are you? So as reviewed in our prepared remarks, the same-station expenses, excluding the divestiture of WJBR and Outlaws, we were flattish, adding back the onetime severance of $1.3 million and increased digital expenses from the increased digital revenue, our expenses would have dropped approximately $2.2 million. Now our second quarter expense reductions occurred in the month of May. So we did not see the full quarter benefit of the savings in the second quarter. And that concludes the additional question.
Caroline Beasley: All right. Thank you all. We really appreciate you attending all and your interest in our company. All right. And should you have any questions, please feel free to reach out to Marie or myself.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. We thank you for your participation. Have a wonderful day.